Operator: Good morning, ladies and gentlemen, and welcome to the Piper Jaffray Companies conference call to discuss the financial results for the second quarter of 2014. [Operator Instructions] The company has asked that I remind you that statements on this call that are not historical or current facts, including statements about beliefs and expectations, are forward-looking statements that involve inherent risks and uncertainties. Factors that could cause actual results to differ materially from those anticipated are identified in the company's earnings release and reports on file with the SEC, which are available on the company's website at www.piperjaffray.com and on the SEC website at www.sec.gov. This call will also include statements regarding certain non-GAAP financial measures. Please refer to the company's earnings release issued today for a reconciliation of these non-GAAP financial measures to the most comparable GAAP measure. The earnings release is available on the Investor Relations page of the company's website or at the SEC website. As a reminder, this call is being recorded. And now I'd like to turn the call over to Mr. Andrew Duff. Mr. Duff, you may begin your call.
Andrew S. Duff: Good morning, and thank you for joining us to review our second quarter results. I will spend a few minutes discussing the market environment and the performance of our business and then hand the call over to Deb, to review our financial results. Before I get into an overview of the markets in our business, I would like to highlight the substantial progress we are making as a result of the strategy upon which we have executed over the past couple of years. Our performance this quarter is indicative of that progress. With the strategy we embarked on the past few years, including the steps we have taken across the firm, relative to investing in certain businesses, managing costs and utilizing our capital, we are producing consistently strong results. By way of comparison, the last time we experienced market conditions that were similarly favorable was 2007. That year, we generated an ROE of 3.2%. Our ROE for the last 12 months ending June was 9.2%. This result is a tribute to our partners across the firm who have worked diligently to adjust our mix of business, take advantage of market opportunities and manage their business in a disciplined fashion. Now I would like to spend a few minutes discussing the market environment and provide greater detail on the performance of our business for the quarter, and then hand the call over to Deb to review our financial results. Equity markets realized slight gains in valuation during the quarter, as major indices were up a few percentage points in Q2. These markets also demonstrated noteworthy stability, with low levels of volatility throughout the quarter. This combination of stable markets at reasonably attractive valuation levels created fertile conditions for capital raising and M&A activity. With IPOs generating positive returns for investors, we are experiencing the most sustained period of capital raising activity since prior to the financial crisis. Simply stated, these are the best market conditions we have seen in the past 7 or 8 years. This combination of favorable market conditions, increasing valuations, low volatility, also benefited traditional asset managers. Market conditions were not conducive to brokerage activity, however, with trading volumes down 10% to 15% for the quarter. In the fixed income markets, our expectation coming into the year was for rising interest rates due to the Fed's tapering of its quantitative easing program and momentum building in the broader economy. While the Fed has maintained its pace in tapering its purchase of government and mortgage securities, the economy actually contracted in the beginning of the year. This resulted in a slight decline in rates during the quarter. Current rate levels have led to increased volume of debt raising, particularly by corporate borrowers. We also saw an uptick in debt raising by tax-exempt entities, albeit at more subdued levels, as the lower rates created some incremental refinancing opportunities. It remains our belief that the probability for increasing rates outweighs the likelihood of meaningful rate declines in current market conditions. Our view is consistent with what we saw in the broader markets, as evidenced by the low trading volumes throughout the quarter. Investors were not inclined to add to their debt portfolios, anticipating an upward trend for interest rates. Trading activity generally was limited to the short end of the curve, we're swapping the securities within portfolios, neither of which generates robust business in the fixed income brokerage area. As we look at our operating performance in the context of current markets, the diversity within our business mix, particularly in areas where we are strong traditionally or have invested over the past couple of years, positioned us to take advantage of currently favorable market conditions during the quarter. Our equity investment banking business clearly took advantage of the market opportunities to produce very strong results for the quarter. Equity capital raising was up significantly, both sequentially and year-over-year, led by our market-leading healthcare franchise. These gains were driven by a material increase in the average deal side. Our M&A business in the area of specific managed focus and investment over the past few years produced a very -- another very strong quarter, and we are seeing momentum building for our consumer and industrial M&A teams, alongside the strong results from healthcare. Our equity trading businesses suffered from lower volumes that were experienced market-wide. Low levels of volatility tend to depress trading activity, particularly by hedge fund investors. The absence of a material block trade during the quarter was an additional drag on the results versus last quarter and year-over-year. Moving on to our public finance business. We saw meaningful improvement in the market with respect to capital raising compared to the very low levels we experienced in the first quarter. Thus, our results registered a substantial improvement over last quarter. The results lagged last year's performance, however, when we participated in a greater volume of refinancing activity. In addition, capital raising for California schools, an area of particular strength for us, is in the off-year of its biannual financing cycle. Relative to our fixed income brokerage business, we share on the collective memory from the very painful second quarter of a year ago. And although we benefited from interest rate declines earlier in the year, we believe that the risk of rate increases outweighs the potential gains from additional rate improvements. This led us to undertake a number of risk mitigation measures going into the quarter, including decreasing our hold periods, adjusting our hedges so that our portfolios were rate neutral. These steps depressed trading gains compared to the first quarter. It seems that many firms and investors took action similar to ours, as we experienced significantly lower trading volumes in the quarter as well. Despite the slight improvement in rates during the quarter, we will continue to operate on the assessment that the risk-reward ratio favors a more conservative posture in our fixed income trading and investing activities. Moving over to our Asset Management business. We generated strong relative performance across all of our key products this quarter, particularly MLPs. We finished the quarter with $12.6 billion in assets under management, as our AUM was up significantly over both last quarter and year ago periods. The increase in AUM was attributable to market appreciation. We are very pleased with the recent progress made by our Asset Management team, particularly in the area of marketing and distribution, which we believe has them positioned for growth in the future. Now I'd like to turn the call over to Deb to review the financial results in more detail.
Debbra L. Schoneman: Thank you, Andrew. In the second quarter of 2014, continuing operations generated net revenues, on a GAAP basis, of $170 million, a 70% increase compared to the year ago period, and up slightly compared to the sequential quarter. Net income for the quarter was $18.2 million or $1.11 per diluted common share, and our pretax operating margin was 17.9%. In addition to our GAAP results, we have presented non-GAAP financial measures to provide a more meaningful basis for comparison of our core operating results. The non-GAAP measures exclude revenues and expenses related to noncontrolling interest, amortization of intangible assets related to acquisitions and compensation for acquisition-related agreement. The remainder of my remarks will be based on these non-GAAP financial measures. In the second quarter of 2014, continuing operations generated adjusted net revenues of $166.7 million, adjusted net income of $20.5 million or $1.25 per diluted common share. And our adjusted pretax operating margin was 19.2%. For the second quarter, adjusted compensation and benefits expenses were 61% of adjusted net revenues, compared to 63.4% in the second quarter of 2013, and 51.4% in the first quarter of 2014. The decrease in the compensation ratio compared to both periods was primarily due to an increased revenue base. Adjusted noncompensation expenses were $33 million for the second quarter compared to $29.3 million in the year ago period and $31.1 million in the sequential quarter. Noncompensation expenses increased compared to the year ago period due to incremental costs associated with the acquisitions we made mid-last year, an increase compared to both periods due to higher litigation-related expenses. On a non-GAAP basis, our effective tax rate from continuing operations was 35.9% for the second quarter, consistent with our expectation of a 34% to 37% tax rate. Now I'll turn to the segment results. For the second quarter, Capital Markets generated adjusted net revenues of $144.7 million, adjusted pretax operating income of $23.1 million and an adjusted pretax operating margin of 15.9%. Adjusted net revenues increased 72% and 2% compared to the second quarter of 2013 and the first quarter of this year, respectively. The active capital raising environment in the first quarter of 2014 continued into the second quarter, resulting in record equity financing revenues of $44.1 million for the 3 months ended June 30, 2014, a 102% increase from the year ago period and a 25% increase from a strong first quarter. These results were due to more completed transactions and higher revenue per transaction, especially in the healthcare sector. Our M&A business has also continued its momentum from the first quarter of 2014 and generated record revenues of $79.4 million in the first half of this year. We believe our M&A business will continue to be strong into the second half of the year as we maintain a very healthy pipeline of deals. Some of these deals have been announced and are expected to close in the third quarter. Although beneficial to our equity financing business, the low volatility in the equity market has resulted in decreased client trading volume, which have negatively impacted our equity institutional brokerage revenues. Our equity institutional brokerage revenues decreased 14% compared to the year ago period and 24% compared to the first quarter of this year. Turning to our fixed income businesses, market-wide decreases in municipal issuance volume continue to negatively affect our public finance revenues, which decreased 9% compared to the second quarter of 2013. However, our public finance revenues improved 49% compared to the very slow first quarter of 2014 due to more completed transactions. During the second quarter, we completed 112 negotiated public finance issues with a total par value of $2.4 billion, generating $20.2 million of revenue compared to 57 negotiated public finance issues with a total par value of $1.6 billion in the first quarter of 2014. Fixed income institutional brokerage revenues were up 155% compared to the second quarter of last year due to trading losses on inventory positions in the prior-year period, during which, the fixed income market experienced a volatile trading environment. Compared to the first quarter of 2014, revenues were down 17% due to lower trading gains and lower client trading volume. As Andrew mentioned, in response to tightening credit spreads in the first quarter and our expectation of a rising interest rate environment, we reduced our risk profile during the second quarter. Contrary to our expectations, yields on the 10-year Treasury dropped during the second quarter, hitting a low of 2.44%. As we were largely interest rate-neutral during the quarter, we did not experience significant trading gains as a result of this interest rate decline. We continue to take a conservative stance towards interest rates and are prudently managing our inventory level. Capital Markets adjusted pretax operating margin improved compared to the second quarter of 2013 due to higher net revenues and decreased compared to the first quarter of 2014 due to higher noncompensation cost. Now I'll turn to our Asset Management segment. Asset Management generated $22 million of net revenues, $8.9 million of adjusted pretax operating income and an adjusted pretax operating margin of 40.7%. Net revenues increased 22% compared to the second quarter of 2013 and 12% compared to the first quarter of 2014. The increase in net revenues compared to both periods was due to higher management fees from increased assets under management, driven by market appreciation, as well as higher investment income from our investments and funds that we manage. The adjusted operating margin declined to 40.7% in the current quarter compared to 41.4% in the year-ago period due to higher noncompensation expenses attributable to marketing-related professional services, and improved compared to the sequential quarter due to lower compensation ratio, driven by higher net revenues. This concludes our formal remarks. Operator, we will now open the line for questions.
Operator: [Operator Instructions] Your first question comes from the line of Joel Jeffrey with KBW.
Joel Jeffrey - Keefe, Bruyette, & Woods, Inc., Research Division: I just -- I appreciate the color you gave in terms of the M&A outlook, looking strong in the second half -- and I apologize if I missed it, but can you just update us on what the ECM outlook looks like, as well?
Andrew S. Duff: Sure. As we know, the new issue market is clearly correlated to the stock market and if the stock market declines significantly, it's going to have a negative impact. That said, the current conditions are conducive for continued strength in the market. We've got market stability with the mix, IPOs have continued to perform relative to the overall market. At Piper, we have a strong pipeline and a broad franchise, and we're poised to continue to take advantage of the market conditions. So I would also point to our market share gains. Last year, on economic fees under $2 billion market cap, we had a 1.8% market share and this year to-date, it's at 3.1%. So we feel very good about it.
Joel Jeffrey - Keefe, Bruyette, & Woods, Inc., Research Division: Okay, great. And then just sort of thinking about the risk mitigation strategies you guys are running in the fixed income portfolio. If these are in place, I mean, is there any reason, then, to expect any kind of change from, sort of, current revenue levels going forward if volumes sort of stay consistent?
Andrew S. Duff: No. I think that's rational. Again, we think the financial rate increases outweigh further rate declines. We're taking a relatively neutral position. Until you get some more volatility and direction, I think we're seeing a lot of investors on the sidelines. So I think that Q2 has continued to be indicative of the environment.
Joel Jeffrey - Keefe, Bruyette, & Woods, Inc., Research Division: Okay, and then sort of thinking about the strategies you have in place, I mean, if there was sort of a change in the environment, how quickly could you change the strategies in terms of your hedging?
Andrew S. Duff: We look at them on a daily basis. There's a senior team, that includes myself, that looks across them on a weekly basis. So we're very interactive and it's very dynamic.
Joel Jeffrey - Keefe, Bruyette, & Woods, Inc., Research Division: Okay, great. And then lastly, you've mentioned some increased litigation expenses. Can you just talk a little bit about what that was tied to?
Debbra L. Schoneman: Yes. They're related to the resolution of a couple of outstanding matters that are now behind us. So we don't view that to have any future impact.
Joel Jeffrey - Keefe, Bruyette, & Woods, Inc., Research Division: So can we see noncomp down a little bit due to that?
Debbra L. Schoneman: Yes, we have stated before, and we do expect that our noncomp will be within that $30 million to $32 million range. As you see higher revenues, we're going to be more towards the high end of that, just given some variable -- given variable components within our noncomp. But we do intend to stay within that $30 million to $32 million range, per quarter.
Operator: Your next question comes from the line of Douglas Sipkin with Susquehanna.
Douglas Sipkin - Susquehanna Financial Group, LLLP, Research Division: I wanted to drill down a little bit more on sort of the equity banking, and I appreciate your comments about share. I'm just hoping to maybe dig in a little bit deeper. Obviously, you guys have always had a strong footprint in certain pockets of the market. I'm just wondering, though, it just feels like you guys, on a relative basis, are just doing stronger than you ever have. As you pointed out, the last time the market was this good, your ROE I think was below 5%. Trailing, it's like 9%, 10%. So maybe you could drill that. And is it some of the competitors, the bigger guys have gotten away from some of the smaller cap stocks? Or are the people you've hired are better? I'm just trying to figure out -- and it's a credit to you guys, I'm just trying to figure out -- I mean, the equity numbers are really awesome for the last couple of quarters and even in great markets before, you guys have never done anything close to this. So I'm just trying to get a sense.
Andrew S. Duff: Yes. So I would say the environment, as we're both saying, is conducive for growth company, capital raising, which is clearly what our franchise is about. We have one of the broader franchises at this point. Not only our industry-leading healthcare but we have a very strong consumer, industrials and, to some degree, TMT franchise. We have added resources in -- matured resources in each of those verticals over the last couple of years and additionally, I believe -- you'd recall, we've really been focused on bookrun activity over the last 3 or 4 years, and now consistently not only get those opportunities increasingly on slightly larger transactions. You add up all those factors and we're clearly strengthening our market share, and would expect to be able to sustain that.
Douglas Sipkin - Susquehanna Financial Group, LLLP, Research Division: Yes, now that's for sure. Can you maybe talk a little bit about how big of a factor some of these bolt-on deals you've done? I'm suspecting maybe they've helped a little bit on the advisory side? And furthermore, would you continue to look to do some of these bolt-on deals if they made sense? And you've done a couple on the investment banking side.
Andrew S. Duff: Yes, and we think they've worked very well. We're a believer in that you really finding parties that are interested -- more mutually interested in our platform, so what I'm saying is they get fully integrated so we can get synergies that we think are available. And you really see this now in our M&A practice. There's, what I call, a flywheel effect. We keep getting more and more transactions, bigger transactions and our resume keeps strengthening. So particularly with the sponsored private equity community, where that's a -- very clearly, a trend -- a criteria by where they award business, our resume is improving consistently.
Douglas Sipkin - Susquehanna Financial Group, LLLP, Research Division: Great. And then just last question, shifting to Asset Management. We've noticed a couple of the retail fund-oriented products have some good numbers. I mean, I'm just wondering what are you guys doing, enhancing distribution, branding efforts around those, aligning more with maybe some of the wirehouses or RIAs, et cetera, to sell those things stronger? Any update there?
Andrew S. Duff: Sure. So that's exactly correct. We're getting some nice momentum and the mutual funds are now over $1 billion in assets. We did have or have had internally dedicated resources. We took an additional step last year and hired a third-party marketer now that we feel that those funds have matured. They have some assets. They've got 3-year track records and they're getting ratings. So we've got, call it, a lot more feet on the street, particularly in the eastern half of the country through a third-party marketer on those platforms and we're also approved in more places than we were. I might add to that, we've added some additional distribution in Europe and the Middle East and for a couple of the products, we've got them into a UCIP format, which is international mutual fund form. So we're going at the distribution from multiple perspectives, and have been investing in it significantly for the last year.
Operator: [Operator Instructions] Your next question comes from the line of Michael Wong with Morningstar Equity Research Department.
Michael Wong - Morningstar Inc., Research Division: Your headcount has modestly ticked down over the last couple of quarters, while the business is going fairly strong. So I was just wondering if you could reconcile those 2, as I would generally expect more investment in the business with fairly good results and a steady outlook.
Debbra L. Schoneman: Yes, what you're seeing, in particular, at the end of this last quarter, is really more the turnover of our investment banking analyst and associate ranks in July. Those are already back up, so it's a little bit of an anomaly, I would say, at end of the quarter because we definitely are looking to grow, and your assessment is correct.
Michael Wong - Morningstar Inc., Research Division: Okay. And your fixed income underwriting came in at a fairly decent level. I mean, tax-exempt has clearly gone up, at least, sequentially. But you also mentioned in your prepared remarks incremental refinancing from lower interest rates and other banks have talked about the M&A deal financing as boosting fixed income underwriting. So I was just wondering. what would you attribute your good performance to? And which of those factors would you see as more enduring or lasting going forward versus maybe temporary?
Andrew S. Duff: So here's the way I think about it. There was, with a decline in interest rates in Q2, some increased refinancing activity. But I'd also highlight that Q1 was really, really low financing across the industry. Arguably, very depressed and unusual. I think when you look at the first half of the year, it's probably more indicative of what we would say, collectively, you'd see in the second half of the year. And we continue to think capital raising, new issue volume in public financial probably will be down, our best guess is about 10% for the year. So we had a rebound from the very depressed Q1 for a lot of reasons. Those reasons primarily, and we'd expect the second half, again, when you get to the entire year, to look like maybe down 10% from 2013.
Michael Wong - Morningstar Inc., Research Division: Okay. And can you just remind me if you do or have much exposure to mergers and acquisitions deal financing?
Debbra L. Schoneman: Not from a debt perspective, no.
Andrew S. Duff: Yes, we don't use our balance sheet to finance those, if that's what you were referring to.
Operator: And there are no further questions in queue at this time. I turn the call back to our presenters for any closing comments.
Andrew S. Duff: I'd like to thank all my partners for their hard work and commitment that's producing these very strong results. We'll continue to manage the business accordingly and look for opportunities to invest and grow the business. Thank you for joining us.
Operator: Ladies and gentlemen, this does conclude today's conference call. You may now disconnect.